Operator: Good morning. Welcome to the CEMEX Second Quarter 2016 Conference Call and Webcast. My name is Hilda, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Our hosts for today are Fernando González, Chief Executive Officer; and Maher Al-Haffar, Executive Vice President of Investor Relations, Communications and Public Affairs. And now, I will turn the conference over to your host, Fernando González. Please proceed.
Fernando González: Thank you. Good day to everyone and thank you for joining us for our second quarter 2016 conference call and webcast. We will be happy to take your questions after our initial remarks. Our solid second quarter and first half results demonstrate the resilience of our portfolio which is largely comprised of high-growth markets that are experiencing attractive supply-demand conditions. Overall, we saw a higher consolidated cement and aggregates volumes during the quarter as well as continued favorable results from the implementation of our value-before-volume strategy. Year-over-year pricing is higher for our three core products, sequentially cement price, the cement prices increased by 1%. Higher consolidated volumes and prices led to a growth in sales of 6% on a like-to-like basis during the quarter. Volumes and prices also had a significant impact on our EBITDA generation. In the case of pricing the impact was $132 million which materially exceeded the increase in our costs. This together with the favorable operating leverage in many of our markets led to a 16% growth in operating EBITDA on a like-to-like basis. Even in U.S. dollar terms our EBITDA increased by 6%. In addition, EBITDA margin expanded by 1.3 percentage points. All regions reflected increases in margins during the quarter. Both EBITDA and EBITDA margin were the highest achieve in the second quarter since 2008. Year-to-date free cash flow after maintenance CapEx reached $488 million, a positive strength of $662 million from last year's level as a result from the higher EBITDA generation as well as our initiatives to reduce the interest expense, working capital investment and taxes. Conversion of EBITDA into free cash flow after maintenance CapEx reach 36% during the first half of the year in addition net income for the quarter increased by 81% reaching $205 million. This was the highest net income in the second quarter since 2008. Our pro-forma debt plus perpetual notes including among other items the utilization of the proceeds from our Philippines transaction is close to $1.3 billion lower than that at the end of 2015. This represents an 8% reduction from the debt level as of the end of 2015. This is an additional step in our path to reach an investment-grade capital structure as soon as possible. We are also very pleased with the successful IPO of CEMEX Holdings Philippines which started trading a week and half ago. This was the largest SM building and construction IPO on the largest Philippines IPO since 2013. It was also the first IPO after the Brexit referendum worldwide. Despite the impact of Brexit on markets worldwide and significant volatility the transaction was 2.6 times oversubscribed with about 90 investors participating on the institutional trench. Net proceeds from the transaction are $507 million. Now I would like to discuss the most important developments in our markets. In Mexico, the economy is expected to continue growing at a stable pace, mainly driven by private consumption. Cement volume growth during the second quarter reflects increased demand as well as better market dynamics on an improvement in our market position both sequentially on a year-over-year basis. Our estimated market position during the second quarter reached level similar to those observed in the first quarter of 2015. Regarding ready-mix the decline in our volumes was mainly due to a high base of comparison in the same quarter of last year, which benefited from an important industrial project as well as the lace in new infrastructure projects. Our cement and ready-mix prices increased by 18 and 9% respectively. Additionally, we just announce unimplemented price increases for back unblock cement as well as for ready-mix all of which became effective July 1st. Our EBITDA margin increased by 3.6 percentage points and it was the highest second-quarter margin since 2009. Strong commercial activity as reflected in retail sales data is supporting the industrial and commercial sector. Additionally, private investment projects related to commercial and industrial developments as well as auto sector projects should contribute to growth in the sector. In the formal residential sector commercial banks which represent about 45% of bottled mortgage investment keep supporting activity but increases in new home mortgage lending and credits to homebuilders. Total investment from Infonavit is down close to 7% May year-to-date but should pick up in the second half in line with the budgeted 3% growth for the full year. Housing registers, which are a leading indicator increased in the mid-single digit during the first six months of the year. Also some homebuilders have been gradually shifting from low income housing to the mid-level residential segment, which is more cement intensive. For the self-construction sector prospects remain favorable giving continued improvement in demand drivers including job creation as well as remittances which increased by 31% in peso terms during the – during the first five months of the year. Regarding infrastructure, the communications and transportation ministry investment budget for these year after the second preemptive cup -- caught is closed to 6% lower than 2015 expenditures. Overall recent public sector spending cuts heavily target couldn't spend in rather than investments. In addition, the budget for highway construction is still above 30% higher than last year's investment. Although there have been the less major projects in our pipeline have not been affected and increases impairment projects have been observed. We expect that activity in this sector should pick up in upcoming quarters. In light of this, we maintain our full year mid-single-digit growth guidance in our cement volumes that helped the multiple of GDP. In the United States, we continued to see healthy demand pricing traction and margin expansion during the second quarter on a year-over-year basis. Despite an unseasonably warm winter that brought some demand forward into first quarter, cement volumes increase 5%. Pro-forma cement volumes adjusting for other well cement increased 7%. Ready mix and aggregates volumes grew by 6% and 4% respectively. Regarding pricing cement prices rose 2% sequentially, reflecting the April price increase in droplet half of our portfolio. Both ready mix and aggregate prices were up 1% sequentially. We have implemented a 7% cement price increase in Florida in early July and believe it should gain traction. In the residential sector, housing starts increased 1% in the quarter due to a slowdown in multifamily starts. Single-family activity, the most cement intensive grew 7% in the quarter offset by a 10% decline in multifamily. Market conditions of stronger job creation, low interest rates, high rents and years of deferred home purchases have resulted in stronger single-family home construction throughout this year for the first time since 2011. Housing permits for the US are down 1% year-to-date due -- do again to a decline in the multifamily segment. Permits in three of our four key states, Florida, California and Arizona continued to expand faster than the country as a whole. Texas is the exception. The decline in the energy sector has led to a slight contraction in the residential sector in the state with permits down 2% year-to-date. Overall, the US residential sector continuously steady rather recovery. Construction spending in the industrial and commercial sector continues to slow down, reflecting a headwind from energy, agriculture and manufacturing investment. We estimate national cement consumption for this sector grew in the low single digits during the quarter, reflecting growth in the lodging, office and commercial segments. National contract awards are down 8% in the year ending May, partially as a consequence of the slowdown in manufacturing. On the infrastructure side, highway and bridge spending registered an increase of 7% year-to-date May. We have noted a pickup in road and highway spending since 2014 on the back of higher states spending on a new Federal Highway Bill. This acceleration in infrastructure spending has manifested itself in the results of our concrete pipe business, where volumes increased 14% year-to-date. During the quarter, EBITDA the margin expanded by 1.1 percentage points year-over-year, reaching 16.6%. On the back of mid-single-digit volume growth and pricing traction in all our products, operating leverage was close to 60%. Dynamics in the U.S. continue to support that would mid-single-digit volume guidance for 2016, and our medium-term expectations for the business. In our South, Central America and the Caribbean region, second quarter cement volumes increased by 2% while ready-mix and aggregate volumes declined by 12% and 11% respectively. The increase in cement volumes reflect improvements in Colombia, Dominican Republic, Nicaragua, and Guatemala. This resulted in an increase in operating EBITDA for the region of 3% on a like-to-like basis with a margin expansion of 1.9 percentage points. I will give a general overview of the region, and for additional information, you can also see CLH's quarterly results, which were also reported today. In Colombia, we continue to strengthen our market presence on a year-over-year basis. Cement volumes increased by 2% with prices 10% higher in local currency terms. Sequentially, cement volumes increased by 4% with a 2% decline in prices. The residential and infrastructure sectors should continue to drive demand during 2016. In residential activity, there has being an increased focus on the middle income housing segment. We expect this segment to be more dynamic during the second half of the year supported by interest rate subsidies. And in addition, the low income segment should be supported by the recently approved 30,000 free home subsidies another programs. In infrastructure, there was a slowdown in activity during the first months of the year related to the start the new terms of regional mayors and governors. For the full year we should see growth in the sector with the initiation of new projects including 4G projects. In light of this we expect cement volumes in our Colombian operations to grow in the low single-digits during 2016. In Panama our cement volumes declined by 21% during the second quarter, reflecting a high base of comparison last year when the Panama canal expansion project was still ongoing as well as slowdown in the approval process of construction licenses and slow execution of infrastructure projects. The year-over-year increase in cement prices mainly reflects a mix effect from lower volumes to the canal expansion project. During 2016 we expect the residential sector to continue to be the main driver for cement demand with year-to-date permits growing in the double-digits. In our Europe region volumes for our three core products increased during the quarter. Operating EBITDA for the region increased by 4% with and EBITDA margin expansion of 0.7 percentage points In the United Kingdom, our cement and aggregates volumes grew 11% and 7% respectively while ready-mix volume remained flat. The increase in year-over-year cement volumes reflect two additional working days higher sales of 72-cement which is blended with fly ash as well as nonrecurring industry sales. Uncertainties surrounding the EU referendum affected consumption activity in the country. The leaf negotiations under economic implications are wagging down consumers and developers confidence. But it is still too early to quantify the impact in our business. In Spain, our domestic cement volumes increased 4% during the quarter. The residential sector is benefiting from favorable credit conditions and income perspectives, job creation and pent-up house in demand. Higher numbers of credits for home purchases and housing permits together with an upturn in home prices should continue to have a positive effect on the sector for the remainder of the year. The industrial and commercial sector should be supported by increases in offices and retail construction permits issued during the first months of the year. In Germany our cement volumes within the quarter decreased 4% or lower aggregates volumes increase 8%. The cement volume the client reflects a high base of comparison as well as challenging market dynamics. From the mentalist remain positive during the quarter and I respected to improve further in the second half of the year. In the residential sector, fast-growing immigration and continued favorable conditions should continue driving the sector and more than offset bottlenecks on the supply-side and public authority's restrictions. The industrial and commercial sector should benefit from growth in building permits. Regarding infrastructure although there have been some delays in the granting of projects, this sector should benefit from a 9% increase in the public budget for traffic infrastructure as well as higher tax revenues. In Poland, our cement volumes increase 8% during the quarter partly due to additional working days and the start of one important infrastructure project in the North of the country while year to date cement volumes increased by 2%. We have to broadly maintain our market position with the 2% increase in cement prices as of June versus December levels. In addition we announce a 4% increase in cement prices implemented this month with similar price increases in our other core products. The residential and infrastructure sectors where the main drivers of the mandate during the quarter for the full year we have adjusted our growth us but patients given peaceable delays and starts a few important infrastructure projects in the country. In France our ready-mix and aggregate volumes increased during the quarter reflecting additional working days and despite the impact of slots which affect the construction activity. For the remainder of 2016 the residential sector is expected to be the main drivers of the man supported by the recent double-digit increase in construction permits and governments initiatives which include buy to led programs a new cedar rate loans for first-time buyers. In our Asia, Middle East and Africa region domestic cement and ready-mix volumes remained flat and decreased 3% respectively during the quarter. Regional sequential prices increased by 5% for cement and by 1% for ready mix. Operating EBITDA increased by 6% on a like-to-like basis with a margin expansion of 0.6 percentage points. In the Philippines cement volumes remained flat due to the quarter due to temporary slowdown in construction activity surrounding the general elections in June. In Egypt, our cement volumes increased 7% during the quarter, despite lower activity in June due to Ramadan which started 11 days earlier in the quarter. As mentioned last quarter we expect our new petcoke grinding mill to translate into about 40 million in cost reductions for these year and 60 million on an annualized basis. For the rest of the year, the formal residential and infrastructure sectors should continue to drive cement the month. The residential sector should be supported by high-end developments on government's low-cost housing projects. The infrastructure sector should benefit from ongoing projects such as the tunnels under the Suez Canal and new port platforms in the city of Port Said. In Israel, our ready mix volumes had a slight decrease mainly due to our value before volume strategy until delays in starts of some major building projects. The residential sector was the main driver of the month due to the quarter. In summary, we had strong fundamentals in most of our operations which translated into positive volume and pricing dynamics which together with our operating efficiencies are assaulted in stronger EBITDA generation during the quarter. We expect these favorable trends to continue for the rest of these year. And now I will turn the call over to Maher to discuss our financials.
Maher Al-Haffar: Thank you, Fernando. Hello everyone. It is important to note that in our second quarter report the results of our operations in Croatia, Austria, Hungary, Bangladesh and Thailand have been reclassified as per IFRS accounting standards and are now reflected in a discontinued operations line item in our financial statements. Our net sales and operating EBITDA on a like-to-like basis increased by 6% and 16% respectively during the quarter. There was higher like-to-like EBITDA contribution from all regions in our portfolio. Our operating EBITDA margin increased by 1.4 percentage points and was the highest second quarter EBITDA margin since 2008. This margin expansion mainly reflects better volumes and prices as well as greater operating efficiencies. On a year-over-year basis, we continued to see the effect of the appreciation of the US dollar versus some currencies in our markets. The quarterly FX impact on our EBITDA was $69 million, excluding about 17 million of the effect of dollarized costs in our operations. As Fernando mentioned earlier, this was more than offset by the favorable contribution of higher prices on our EBITDA. Cost of sales plus operating expenses as a percentage of net sales declined by 1.5 percentage points during the quarter, reflecting our cost reduction initiatives as well as slower energy costs. Our kiln fuel and electricity bill on a per ton of cement produced basis declined by 17% in the same period. Our quarterly cash flow after maintenance CapEx was $478 million, $376 million higher from last year's level. This is the highest free cash flow in a second quarter since 2008. This is mainly explained by higher reversal in working capital as well as higher EBITDA generation, lower taxes, and financial expenses. Free cash flow after total CapEx was $422 million, an improvement of $359 million compared with the second quarter of last year, and the highest in a second quarter since 2006. During the first six months of the year, working capital days declined to 10, a new record from our 23 days in the same period last year. This translated into a reduction in our average year-to-date working capital investment of close to $480 million compared with the same period last year. Other expenses net during the quarter for $40 million were mainly due to impairment of assets and severance payments. We had a loss on financial instruments of $24 million related mainly to CEMEX shares. Foreign exchange results for the quarter resulted in a gain of $108 million, mainly due to the fluctuation of the Mexican peso versus the U.S. dollar. During the quarter, we had a controlling interest net income of $205 million, the highest generated in a second quarter since 2008. This higher net income mainly reflects higher operating earnings before other expenses and positive effect in the in foreign exchange results and lower income tax partially offset by higher other expenses. We continue with our initiatives to improve our debt maturity profile and strengthen our capital structure. During the quarter, we also issued $400 million -- €400 million in eight year senior secured notes with a coupon of four and 5.8%. We use the proceeds from these notes plus free cash flow and other cash resources to reduce debt. During the quarter, we repurchased more than $1.7 billion of our senior secured notes. We also created a cash reserve for $270 million for further debt reduction. Pro forma total debt plus perpetual securities adjusted for this cash reserve and the proceeds from the Philippines IPO decreased by close to $1.3 billion year-to-date. Our reported leveraged as of the second quarter reached 4.93 times from 5.21 times as of the end of 2015. This already reflects the utilization of the created cash reserve. If in addition, we include the proceeds from the Philippines transaction for debt reduction, the pro forma leverage ratio goes down to 4.75 times. As you know, total commitments on our credit agreement are currently about $4 billion including the revolving facility. The spread over LIBOR on this debt is determined by a grid based on our leverage ratio. Now that our leverage has dropped below five times, the interest rate we will pay on our bank debt drops from LIBOR plus 350 to LIBOR plus 325 basis points starting in the next interest. As per the pricing grid every 0.5% drop in our – 0.5 times drop in our leverage ratio translate to an additional quarter of a point reduction in our spread. The minimum interest rate on the grid is LIBOR plus 250 basis points which is reached when leverage drops below 3.5 times. We are very pleased with the loan of €106 million we obtained from the IFC in July to support our sustainable investment programs in emerging markets. In addition, two days ago Fitch Ratings affirmed CEMEX's credit rating at BB- with a stable outlook, and upgraded CEMEX's national scale long-term rating to A from A-. We have included a pro forma debt maturity profile which shows the utilization of the cash reserve plus the proceeds from the Philippines IPO, the IFC financing, as well as a portion of our revolving credit facility. To first fully redeem our 2019 5.78% senior secured notes which have already been called and will be paid on July 29 and August 15. Second, the payment of $353 million of our 2022, 9.38% senior secured notes; and third, the payment of short-term bank debt of $155 million related to the Philippines transaction. Pro forma average life of debt is currently at five and a half years. In addition, we are pleased with our bonds now trading at pre-Brexit levels. Our 2026 7.75% percent bonds were issued last March are trading at their lowest yield level since issuance at around 6.4%. Our maturity profile has no significant maturities in the short term, as we have done in the past we will be proactive in taking market opportunities to manage our maturities and ensure that our debt profile will continue to be manageable. Now Fernando will discuss our outlook for this year.
Fernando González: For 2016, our volume guidance for consolidated cement remains unchanged. We now expect consolidated ready-mix and aggregates volumes to grow in the low to mid-single-digit during the year. Regarding our cost of energy, on a per ton of cement produced basis, we expect a 10% reduction from last year's levels. Guidance for total CapEx for 2016 is about $650 million. This includes $430 million in maintenance CapEx and $220 million in strategic CapEx. Regarding working capital, we now anticipate a reduction in working capital investment of $150 million from last year's level. We expect cash taxes for 2016 to be under $350 million. Regarding financial expenses, we now anticipate a reduction of about $100 million to $150 million for this year. Due to the seasonality of our operations we anticipate stronger EBITDA and free cash flow generation during the second half of the year. In closing, I want to emphasize that in the world of declining GDP forecast we continue to see profitable demand growth throughout our portfolio. We generate about 70% of our EBITDA in countries with favorable growth prospects and favorable supply demand dynamics. We continue to deliver strong results despite headwinds caused by currency fluctuations and volatility in the financial markets. Our EBITDA grew in U.S. dollar and was the highest second quarter EBITDA as well as the highest EBITDA margin since 2008. We also had the highest year-to-date free cash flow levels since 2006, reflecting our initiatives to reduce financial expenses and improve working capital, translating into a record low 10 working capital days. I would like to iterate the messages and forges we have provided since the beginning of the year related to complement our growth in EBITDA free cash flow and to dampen the effects of the continued volatile environment in our business. We are well on-track to reach over cost and expense reduction target of $150 million. We now expect free cash flow initiatives of $500 million to $550 million, reflecting our lower anticipated investment in working capital and lower financial expenses as I mentioned earlier. We are updating our debt reduction target for 2016. As of the second quarter, we have reduced debt on a pro-forma basis by close to $1.3 billion. Debt reduction for the second half of the year should come from additional free cash flow generation and subject to closing conditions the proceeds from pending divestments including our creation operations and the announced sale of some U.S. assets to Grupo Cementos Chihuahua. Based on this, we now expect to decrease our debt by $1.5 billion to $2 billion during 2016 up to a 13% reduction from end of 2015 levels. This should bring our leverage ratio as defined under our credit agreement to below 4.5 times by the end of this year. We are also increasing our divestments targets for 2016 and 2017. I'll now expect to sell assets for $1.5 billion to $2 billion. So far we have completed the sale of minority stake in our Philippines operations, the sale of our assets in Thailand and Bangladesh, plus some additional fixed asset sales. We have also announced the sale of some U.S. assets to Grupo Cementos Chihuahua and we're working on additional initiatives to achieve this target. With higher debt reduction these year as well as our increased divestments target and continue favorable free cash flow generation for next year, we have also updated our two year debt reduction target. We now expect to reduce debt by $3 billion to $3.5 billion during 2016 and 2017 or up to 23% from the debt level as of December 2015. We will keep you updated on the progress of our different initiatives. Thanks for your attention. Before we go into our Q&A session, I would like to remind you that any forward-looking statements that we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to our prices for our products Now we will be happy to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Benjamin Theurer from Barclays.
Benjamin Theurer: Hey, good morning, Fernando. Good morning, Maher. First of all congratulations on the results.
Fernando González: Thank you.
Benjamin Theurer: I just wanted to ask two questions, one on the market dynamics in Mexico. So clearly, the growth, what we've seen here, especially in cement volumes was tremendously strong. Could you share a little bit what you've been seeing for the market, how you've potentially gained, from my suspicion its market share against peers and, how do you see the second half here in terms of potential for market share gains or what you expect in terms of capacity to come on stream or potentially some ramping of capacity. That will be my first question and then I have one on financing. But maybe we can take that one first.
Fernando González: Okay. On Mexico, Benjamin, we have describing our strategies since we started it early last year and the process that has been happening and the process we were expecting is that we started according to our value before volume strategy, adjusting our prices. For several reasons in previous years cement prices in Mexico did eroded because of market conditions, meaning bonds declining. If you remember 2015 was a challenging year for Mexico. And dynamics are different nowadays. The market is growing. Last year it was a high-growth market. This year it continues growing and we do expect the market to continue growing not as much as earlier, but it will continue growing. So, capacity utilization in the country is different than what it was in previous years and that has helped us to recuperate prices lost compared to whatever, compared to general inflation, compared to inflation of our own materials and consumption compared to inflation of all the construction materials. So that's what it's going through. In the first phase and for the whole second half of last year, we lost market share we would expecting certain loss of market share because of our strategy. And at the end light by little we are partially gaining back that market share with the -- and at same been able to maintain the prices that we have increased. So this has been a kind of very extended or long strategy I mean this type of strategies cannot be executed in the quarter or two. It takes time, it takes patience. And finally seems that we are getting the benefits of this strategy. Is this strategy sustainable in the sense of competitive dynamics in the future which I think is also part of your question? I think it is. I think the market in Mexico will continue growing low single-digit but will continue growing. And that will be more than enough to absorb additional capacity increases that are to come the next months or years. So, if we round figures for the Mexican market in around of 40 million tonnes of consumption. Let's say a growth of 3% to 4% that that's a growth of $1 million to $1.5 million per year which we think will be again enough to absorb capacity increases. As you know, we are in the process of also expanding our Tapioca capacity that will that would be one of the capacities to be increased in the next few months. But again, taken into consideration that the general inflation, inflation of our consumptions, I mean the raw materials and other fuels and others in the last few years I am not referring to this quarter compared to last quarter, and taking into account also inflation of other construction materials I think we still have a way to go. I think we still can increase prices for another 15% or 20% in months and years to come. I am not referring to any specific period of time. But I feel confident that as long as the market continues growing, this low digit number, the dynamics will continue being supportive for a strategy like ours.
Benjamin Theurer: Okay. Perfect. Very clear. Thank you very much, Fernando. And one in regard to the credit agreements, so we all know that in 2017, the first part of that renegotiate credit agreement is due with a little over $400 million. Right now it's my understanding you run at about a quarter of your total financings is with banks. And I remember you said in the past that you're looking to have somewhere around 30% of financing with the bank. So is that something where we should expect some renegotiation or do you plan to repay or pay that $400 million and change in 2017 because you are going to have and then issue potential or negotiate something like a new debt with banks going forward in order to maintain that share to get a little bit of sense on how your financing structure is going to look like in coming years, that would be the second question.
Fernando González: Okay. So there are several things embedded in your question, Benjamin. Let me start trying to provide context, so I can clarify that. In our strategy, of course, we have been reducing or refinancing debt the one that is more expensive or debt that it's the one to be refinanced in the very short – in the shortest period of time. Now, we have reduced our debt already, but as commented in the forecast of the production for the whole year in the second half, we will be also reactive on reducing debt, again, the most expensive one. So by the end of the year or at least a year, I am not sure on a specific date, but I think most of that for the next three years or four years perhaps is going to be bank debt. Are we going to pay the $400 million -- around $400 million that are due in September next year, are we going to refinance that, will depend on conversations with the banks that we have not started already because we are concentrated again in other liability management transactions before getting to into a position of having almost on the bank there in the very short-term. Now if we continue reducing our most expensive there just by doing it in proportionally our bank debt will be higher, on the other hand as you know, we increase bank debt with the €106 million that we just added. So the proportion we will be changing because of different reasons, what I'd like to see a larger proportion of bank debt the compared what would total debt yes, I think, I think that its – it would be beneficial for us, you know to improve the sources and the proportion of different sources of financing. But it will not come necessarily only by increasing back debt again, we are working all the angles and at the end it will cause a slightly higher proportion of buying debt compared to total debt.
Benjamin Theurer: Okay. Very good. Thank you very much, Fernando.
Fernando González: Thank you, Benjamin.
Maher Al-Haffar: Operator?
Operator: Your next question comes from Vanessa Quiroga from Credit Suisse.
Vanessa Quiroga: Hi. Thank you for taking my question. Hi, Fernando and Maher.
Fernando González: Hi, Vanessa.
Vanessa Quiroga: Congratulations on the results.
Fernando González: Thank you.
Vanessa Quiroga: First of all, I want to ask you about that Mexico volume and what's your estimate for the industry growth on that quarter on that year-over-year basis, please. And the other question that I have is regarding pricing in Europe we did see some weak pricing for the regions, so I was wondering what countries, drove this weakness in sequential prices in local currency? Thank you.
Fernando González: In the case of Mexico volumes for the second quarter we still don't have all the information, all information is not yet available Vanessa, so we don't have – and we are not disclosing because of that all information on industry numbers for the second quarter, whenever we have them, we will gladly communicate those. And the second question was about - Pricing in Europe – yeah, so pricing in Europe Vanessa, I would say that, the two main markets where we've seen a little bit weaker pricing in the European markets or Germany, we saw a drop of about 2%. Spain was about a 4 percentage drop and you know, we've had some other actions in some of the others but those are the two major markets that were not supportive of the pricing dynamics in Europe.
Vanessa Quiroga: Are those the sequential declines in market and what can you tell us about that competitive landscape there, do you see it was an industry-wide dynamics?
Maher Al-Haffar: I think that in Germany, we've had some competitive dynamics that were taking place, and we've had some change in ownership and the positions there and so it's adjusting as we speak. On a year-over-year basis, we had high base of comparison also but it's important that we have a new player there and they are adjusting kind of their feel for the market. But we continue to feel the fundamentals for Germany to be fairly positive and we've seen a lot of immigration which should be supported for the residential sector and infrastructure continues to do fairly well as well. So we think that probably the pricing dynamics that we're seeing are hopefully of a temporary nature, because the fundamentals of the business continue to support very positive pricing dynamics.
Vanessa Quiroga: And in Spain?
Maher Al-Haffar: Spain, it's probably mostly a geographic footprint mix. I would say that they are again – there are some political uncertainty in terms of – that is putting a little bit pressure on the consumer and business confidence, but on the residential side we continue to see very positive behavior. Industrial and commercial, the non-residential permits grew quite a bit in the 2015 and there's a tale – there's a tale effect to that in the first quarter of the year things slow down a little bit. And obviously in terms of the expectations of the political situation there is probably creating a little bit of a headwind in terms of new construction activity.
Vanessa Quiroga: All right. Okay, thanks Maher. Maybe if I could also had a question about the working capital improvement. What were the concrete or regions that drove the improvements, spending improvements?
Fernando González: I think in the process we are following and we had the chance to elaborate in our CEMEX day. The two countries where we were expecting a contributions this front last year, this year and next year are U.S. and Mexico. So what we have seen in the first half of this year during the second quarter included is that U.S. and Mexico have improved materially their working capital numbers. The rest of the company has also improved their labels, but if you remember Vanessa, CEMEX excluding in Mexico and the U.S. already had working capital labels between zero and 10 days. And on the upside, we thought it was coming from the U.S. and Mexico, and that's what is happening. So for instance year-to-date working capital in the U.S., its 31 days compared to 40 seeks last year. So that's a material contribution. On the other hand, Mexico's working capital this year is 18 days and that compares very favorable to 33 days last year. So we are very pleased with ambitious targets that our management teams in Mexico and the U.S. – the targets that they have set and they are following. Because of the numbers I just mentioned 31 days for the U.S. and 18 days for Mexico compared to zero to 10 days for the rest of the company, I do believe that these numbers will continue being reduced meaning improving in the months and perhaps years to come. And as you know U.S. and Mexico are the largest business units in CEMEX, so this change would be very material on a consolidated basis.
Vanessa Quiroga: Okay. Thanks. I think especially given their higher volumes in Mexico in the quarter. Thank you.
Fernando González: Thank you, Vanessa.
Operator: Your next question comes from Nikolaj Lippmann from Morgan Stanley.
Nikolaj Lippmann: Hi. Good morning. Congratulations on the numbers, and thanks for taking my question. I have three questions. The first is on the level of profitability in the U.S. and then some on taxes and Tepeaca. In the U.S., if I just take your EBIT – your reported EBITDA number and divide it by the cement volume in the quarter, I get that you make – cement prices look to be about $15, $20 higher a ton based in the U.S. But it looks like just with this simple analysis that you're making about $10 less a ton of cement sold in the U.S. So I was wondering, if you can comment a bit on your cost structure in the U.S., if there is an opportunity, perhaps, to lower cost and increase U.S. profitability? So that's question number one. And question number two, if you can remind us or remind me of your tax loss carry forward for the U.S. and what we should expect with regards to taxes towards the second half of this year? And, finally – I'm sorry about all these questions – what's the status on Tepeaca in Mexico? Thanks.
Fernando González: What is the what? Sorry.
Maher Al-Haffar: The status on the Tepeaca...
Nikolaj Lippmann: The status on the Tepeaca expansion in Puebla.
Fernando González: Well, we are doing progress with the project. And we still don't have a very specific date, but it should be next year. We will be, in quarters to come, clarifying when are we going to start up the expansion in the Tepeaca, which – what I can tell you is that our 4 million tons of additional capacity in Tepeaca will come in two phases with a different timing. So the expansion that I'm referring to be ready for next year will be around 1.5 million tons of cement. So that's for your Tepeaca question.
Nikolaj Lippmann: Thanks.
Fernando González: Yeah. And, Nik, if I can address the U.S., I mean, first, it's very difficult to compare across regions. Right. And it also has to do a lot with footprint changes in terms of where the growth is coming during a particular quarter. But also very important, the margin dynamics between first quarter and second quarter had a lot to do that we had a volume pull through from the second quarter into the first quarter. So kind of looking at the cost structure quarter to quarter is very tricky in the U.S. because of seasonality and because of the pricing dynamics and because of weather. If we take a look at the first half, EBITDA margin was up about 2.7 percentage points year-over-year and frankly we're expecting it to do much better in the second half of the year. Also, if you take a look at just the consensus number, so that I don't give you any kind of guidance on the quarter -- on the full-year expectations for the U.S. the first half EBITDA generation this year is very much in line with kind of what we had at last year, maybe there's a difference of half a percentage point, it's around 38%, 39% of the of the total EBITDA as expected by consensus. So the second half of the year will be up us a significantly higher EBITDA generating portion of the year and that will reflect obviously everything else being equal will reflect an improvement in EBITDA margin. So, I think that's those are the factors that that are driving that structure. It's really not that we have a structurally different cost structure. Now we do have some issues for instance like carrying our import terminals for instance that has not been utilized that kind of -- until that capacity utilization increases to require us to use those that will have headwind on our on our margin, but that should that should improve. So I don't know if that addresses your question, Nick.
Nikolaj Lippmann: Thanks. One that I don't want to kick that whole, but if we think about the original guidance 116 $1.2 billion into this year it means half through 2016 and I noted that has been revised while its changed, but when we think about you don't like giving the details on the business lines, but can you reflect on just the way things are very different from that original guidance in terms of margin cement margins, ready mix, aggregate margin if you want to comment on that?
Fernando González: Yes. I would say that probably you know when we talk about that that 1.2 kind of more and I don't want to call it steady state but say that the medium-term expectations for the U.S. is EBITDA generation. I think that volumes are probably a little bit lower than, than expected. And certainly I would say that pricing is probably ahead, but still short of where we would like to be in the next two to three years. If we take a look on, on a real, real term basis we're still good $25 to $30 per ton below where we should be in the U.S.. And so, and we do expect like I said, we do expect an important – based on consensus the market is telling us that we're following a trajectory similar to last year where we had EBITDA growing kind of mid-30s. This year, the consensus is somewhere around 30% and the pricing dynamics should get better as supply demand tightness in the US market gets more favorable frankly. So now when are we going to get to 1.2 billion? I mean, frankly we'll have to wait and see.
Nikolaj Lippmann: Okay thanks. Just remind us that the tax is now into profitability level in the U.S. is increasing and if you could just remind us of the tactical start forwards you have there and when they start expiring?
Fernando González: Unfortunately Nick we have not been disclosing the tax loss carry forwards by region.
Nikolaj Lippmann: Thank you very much.
Fernando González: Thank you Nick. Operator?
Operator: Your next question comes from [indiscernible] from Bank of America.
Unidentified Analyst: Thank you very much and congratulations on the good result. One of my question is on working capital which I think you've already answered. I guess I would like to ask is if you think there's number of days can be sustained in the second half of the year and going forward? Also I would like it if you could just remind us again what the EBITDA sensitivity is to the moving the pace since you are seeing quite a bit of volatility there? And then thirdly, just more generally in previous U.S. election years could you – is there any trend you could comment on in terms of performance in the US in terms of home building or construction activity leading up to the elections or following the elections? Thank you.
Fernando González: Yes. On working capital and the direct answer to your question is yes these levels of working capital are sustainable. And I have reasons to believe that for the rest of the year it will continue improving not just maintaining them. And the main reason is that, you know for some time we have already gone with an a global initiative on working capital optimization which has being executed in most of the company. As I mentioned Cemex as said forth U.S. and Mexico is currently in the range of 0 to 10 days of working capital and its being in that range for some time already and still improving slightly. And in the case of Mexico and the U.S., we started this initiative in late 2014. You saw the changes in 2015 and those improvements continued this year. And because of the numbers that the that we are showing in the first half in working capital, 31 days for the U.S. and 18 days for Mexico. Again, and compared to the rest of the company, I think, I do have solid reasons to believe that the U.S. and Mexico will continue improving and therefore contributing to free cash flow in the next -- in the rest of the year and to some extent the next year. I mean, it would take 31 days or 18 days to a range of zero to 10, which is what we have in the rest of the company that will continue being sizable contribution.
Maher Al-Haffar: And in terms of the impact of the Mexican Peso movement to our EBITDA from the Mexico, roughly a one Peso drop from that levels that we are at around now which would represent somewhere around 5% to 6% move, that would roughly have an impact somewhere between $50 million to $60 million on our EBIT out of Mexico.
Unidentified Analyst: Okay, great. And did you have another portion of the of the question, just remind me of that please.
Fernando González: It was about -- just about the impact on business in the U.S. and the U.S. election.
Maher Al-Haffar: Right, right. I mean we -- look -- who knows, I mean we can't opine. All I can tell you is that we feel that there's a lot of momentum in the major drivers. I mean there shouldn't be any impact from the elections on the Federal Highway Bill which is in place for the next five years and that we don't anticipate any changes. I think we've had fairly good bipartisan support for that. In fact, if we didn't it would have happened. And frankly I think most Central Banks around the world are talking about exhausting monetary policy and maybe looking at fiscal stimulus policies. Maybe in the U.S. were not saying that, but there certainly an enormous pressure in that direction. So on the infrastructure side, we don't see major changes. And on the housing side, I mean, we continued to see fairly decent legs to the expansion there driven by continued improvement on the employment side, lower interest rates. I mean, your analyst actually, at Bank of America Merrill Lynch, is one of the good guys that cover that and she has some very good expectations on the residential side. And we're seeing that in our markets. I would say that that the only market – micro market that has seen softness has been the Houston market. And virtually everywhere else we've seen some very fairly healthy growth, even in Texas if you take a look at Dallas and Houston – I'm sorry, Dallas and Austin, the markets are doing quite well. So we think that in general most of the drivers of our business are relatively independent, relatively, I put that in quotation mark, because nobody knows what's going to happen and how either of the candidates will behave, are fairly insulated from that. But generally speaking, we're reasonably positive, either candidate.
Unidentified Analyst: Okay. Thank you very much and congratulations on the good results again.
Maher Al-Haffar: Thank you, Anne.
Fernando González: Thank you very much, Anne. Operator?
Operator: Your next question comes from Dan McGoey from Citigroup.
Dan McGoey: Good morning, gentlemen. Congratulations on the results. Question on U.S. pricing, you had relatively mild expansion quarter on quarter in pricing and you're due to implement price increases in 50% of the markets where you operate. Can you talk a little bit about on the take-up and where you had success? And then also on – I think you mentioned before the price increase effective July 1, which wasn't successful in first quarter. Tell me a little bit about what may have changed in Florida that gives you confidence to achieve it in the second half?
Fernando González: Sure, just first, year-over-year prices were up us as we announced, 4% in the quarter and sequentially up 2%. And what's really, I mean, and just as a reminder, I mean, all of our prices that we report are CIF prices for gray cement. In the case of the U.S. and some other markets, the transportation element is an important element in the U.S. particularly important because of the distance that our products travel. So if we take a look at the pricing dynamics in the U.S. point-to-point on an FOB basis, which is probably the best way to look at it is about 9%. So that's a very high realization to the announcements that we have made, we believe, and so we continued to be quite constructive and optimistic about the pricing increases. We've had pricing increases in January. We've had pricing increases in April. The April pricing increases I think we’re getting fairly good realization in California, South Atlantic, probably little bit weaker in Arizona, fairly successful in North and Central Texas and Houston for obvious reasons not particularly good. But in general I think the April pricing increase held up quite well. Where the only incremental pricing increase that we have going into the second half is the July pricing increase in Florida, that's up mid-single-digit percent increase that we have announced. I would like to say that we're cautiously optimistic about Florida. It's a market that is growing quite a bit. Capacity utilization has picked up considerably. We've had some issues in supplying that market not necessarily ourselves but the industry. So the conditions we believe are favorable to absorb that July pricing increase.
Dan McGoey: And if I can follow up on that Maher, would you say each regional market is different but would you see the bigger impediment to do price increases is now growing imports or is it still pockets of spare capacity on domestic producers?
Maher Al-Haffar: You know what imports as a percentage of total consumption are pretty stable. I mean, they represent roughly kind of low to mid-teens of the – of total consumption. The makeup of importers has not changed in any material way. We continued to have north of 95%, 96% of imports being brought in by local producers. For us in our markets within our four key states, you know 60% of the imports are coming into Texas, which is a sold-out state. So imports have not been disruptive and certainly have not been putting an upper limit on pricing. I think pricing dynamics are very much driven by the competitive dynamics in each one of our micro markets. And...
Fernando González: If I may add some additional context on pricing in the U.S., which is what you're asking and trying to better understand. I think and you know that we are getting close to full capacity utilization all over the U.S. that my happen sometime next year, and that's why you might observe some additional inputs coming into the market. But having full capacity utilization and we had already very close to full capacity utilization and in some markets we are already improved capacity utilization. That will be the best context for being able to recuperate prices in the U.S. that we have lost in several years, because of all the, you know, I need to go back to lots of years already to 2007 and even years before the peak prices in the U.S. has been $30 to $40 higher than current cement prices in the country. So I think that the context for next year, full capacity utilization with an upside in prices at least compared to historical ones, I think is – it is a very interesting formula on a situation to contribute to EBITDA in the U.S. next year and in the years to come.
Dan McGoey: Great. Thank you.
Fernando González: Thank you very much. Operator?
Operator: Sir, we have time for one more question. That question comes from Rene Kleyweg from Deutsche Bank
Rene Kleyweg: Good morning, gentlemen. Just curious if you could put a bit more color on the drag that the carrying import terminals at the moment either in terms of what their running cost are, or what the – let's say negative EBITDA is after profitability on imports? Just some sort of context on that would be useful. Thank you.
Fernando González: Hi, Rene. First, it's good to hear your voice after such a long – I guess, being away from the business and covering us. Look we – I mentioned that just by the way frankly, it's not a material number, but it does differentiate us from some of our peers. But unfortunately we don't break out that number, but it's not a material mover frankly at the end of the day as far as we're concerned. So, I hope, I don't mean to disappoint you with the first question that you're asking us, what looks like this.
Rene Kleyweg: Don't worry. It's worth to try.
Fernando González: Okay. Great. Anything else, Rene?
Rene Kleyweg: No. That's it. Thanks.
Fernando González: Great. Thank you very much. Operator?
Operator: I will now like to turn the call over to – I will now like to turn the call over to Fernando González for closing remarks.
Fernando González: Thank you all. And, in closing, I would like to thank you for all your time and attention. We look forward to your continued participation in CEMEX. And please feel free to contact us directly or visit our website at any time. Thank you and have a good day.
Operator: Thank you for your participation at today's conference. This concludes the presentation. You may now disconnect. Good day.